Operator: Good day, and thank you for standing by. Welcome to the PROG Holdings Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, you will need to press star 11 on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star 11 again. Please note that today's conference is being recorded. I will now hand the conference over to your speaker host, John Baugh, Vice President of Investor Relations. Please go ahead.
John Baugh: Thank you, and good morning, everyone. Welcome to the PROG Holdings third quarter 2025 earnings call. Joining me this morning are Steve Michaels, PROG Holdings' President and Chief Executive Officer, and Brian Garner, our Chief Financial Officer. Many of you have already seen a copy of our earnings release issued this morning, which is available on our Investor Relations website, investor.progholdings.com. During this call, certain statements we make will be forward-looking, including comments regarding our revised 2025 full-year outlook, our guidance for 2025, the health of our lease portfolio, our capital allocation priorities, and the benefits we expect from our sale of the Vive Financial portfolio to Atlantica Holdings Corporation, such as improving our capital efficiency and profitability profile. Listeners are cautioned not to place undue emphasis on forward-looking statements we make today, all of which are subject to risks and uncertainties that could cause actual results to differ materially from those contained in the forward-looking statements. We undertake no obligation to update any such statement. On today's call, we will be referring to certain non-GAAP financial measures, including adjusted EBITDA and non-GAAP EPS, which have been adjusted for certain items that may affect the comparability of our performance with other companies. These non-GAAP measures are detailed in the reconciliation tables included with our earnings release. The company believes that these non-GAAP financial measures provide meaningful insight into the company's operational performance and cash flows and provides these measures to investors to help facilitate comparisons of operating results with prior periods and to assist them in understanding the company's ongoing operational performance. With that, I would like to turn the call over to Steve Michaels, PROG Holdings' President and Chief Executive Officer. Steve?
Steve Michaels: Thanks, John, and good morning, everyone. Thank you for joining us today as we report our third quarter results and share our perspective on how we are positioned heading into the final stretch of 2025. I'll also provide context around the recently announced sale of our Vive portfolio and how that decision aligns with our long-term strategic priorities. In the third quarter, we surpassed the high end of our outlook for revenue and earnings. These results were driven by continued strength in portfolio performance and strong momentum within our BNPL business for technologies. Non-GAAP diluted EPS of $0.90 exceeded our outlook range of $0.70 to $0.75 per share, marking our third consecutive earnings beat this year. This quarter's outperformance reflects the discipline of our team, the strength of our business model, and our ability to execute through macroeconomic volatility. Throughout the quarter, we navigated persistent consumer challenges marked by ongoing inflationary pressures, growing financial stress among lower-income households, and early signs of labor market softening, all of which impact discretionary spend in our leasable verticals. While the overall unemployment rate is still low, the heightened financial stress and greater caution among lower-income consumers across our leasable categories is a headwind to GMV. As I shared in July, two primary factors weigh on Progressive Leasing GMV this year, including in the third quarter. The first is the previously disclosed Big Lots bankruptcy, which created a significant GMV headwind. The second is our intentional tightening actions of lease approvals, a necessary step to preserve portfolio health in an unpredictable environment. Adjusting for these two discrete items, underlying GMV in Q3 grew in the mid-single digits, reflecting strong operational execution and healthy demand across other areas of the business. We are growing balance of share with key retail partners, strengthening existing relationships, and scaling our omnichannel ecosystem. As Brian noted in July, we expected approval rate comparisons to ease slightly in Q3, and they did. Our progressive leasing two-year GMV stack improved from negative mid to low single digits in the first half of the year to flat in Q3, which had the toughest year-over-year compare given the strong growth in Q3 2024. These trends give us confidence in the durability of our go-to-market strategy and the long-term scalability of our platform. Progressive Leasing's portfolio performance remains strong and within our targeted 6% to 8% annual write-off range. Q3 write-offs of 7.4% improved both sequentially and year-over-year. These results reflect the success of our ongoing refinements to our decisioning posture and risk analytics. We are encouraged by the early stage performance indicators and believe we can deliver consistent portfolio outcomes while driving profitable GMV. Consolidated revenue came in at $590.1 million, which reflects a slight decline compared to the same period last year. This result was driven by the impact of the Big Lots GMV loss and a smaller portfolio entering the quarter for our leasing business, offset by another standout quarter from four Technologies, which again delivered triple-digit revenue growth. Consolidated adjusted EBITDA was $67 million, and non-GAAP EPS was $0.90, both exceeding the high end of our outlook. Before diving deeper into the Q3 business results, I want to take a moment to address today's announcement regarding the sale of our Vive Financial credit card receivables portfolio to Atlantica Holdings Corporation. This transaction represents a meaningful step in our long-term strategy to improve our capital efficiency as we focus on opportunities with the greatest economic returns. While Vive has been part of our ecosystem since 2016, we believe this decision enhances our overall profitability profile and positions us to deploy capital more effectively. We are pleased to be partnering with Fortiva, the second look credit offering of Atlanticus, to ensure continuity for our retail partners and consumers, allowing us to maintain access to a comprehensive set of flexible payment options to underserved consumers while aligning our resources with the future of the product platform. The sale of the Vive receivables strengthens our balance sheet, giving us additional flexibility to invest in strategic priorities. Brian will speak to the capital implications shortly, but I want to underscore that we are committed to deploying capital in ways we believe will drive sustainable shareholder value through investments in growth, strategic M&A, and disciplined return of capital through share repurchases and dividends. I want to take a moment to thank the entire Vive team for their contributions. Their hard work and commitment played a critical role in helping us serve customers who may not have otherwise had access to credit, and we are proud of the positive impact they have made. We have made every effort to support Vive team members through this transition, including identifying some opportunities within the broader PROG Holdings organization. We wish them all the best as they move into this next chapter. Moving back to the business, we made significant progress in our strategic pillars of grow, enhance, and expand in Q3. Under grow, we continue to ramp direct-to-consumer performance, saw strong returns from our omnichannel partner marketing initiatives, and increasing e-commerce penetration. Our marketplace team also onboarded additional affiliate and e-commerce partners. E-commerce GMV is at 23% of total progressive leasing GMV in Q3 2025, up from 20.9% in Q2 and 16.6% in Q3 2024. Additionally, we launched or signed three recognizable new retail partners since our last earnings call, each representing GMV expansion opportunities. These exclusive partnership wins, all earned through a competitive selection process, underscore our leadership position, the strength of our value proposition, and our ability to drive incremental sales. Our pipeline is healthy, with a focus on converting near-term opportunities and deepening engagement with existing accounts as we expand our footprint across both national and regional segments. We strengthened our position within existing retail relationships by extending long-term exclusive agreements with several of our major national partners, reinforcing our role as their exclusive lease-to-own provider. We have successfully renewed nearly 70% of our Progressive Leasing GMV to exclusive contracts reaching to 2030 and beyond. With these additional renewals in place, we can focus on integrations and accelerating our initiative roadmap with these partners to drive future growth. As I have mentioned previously, millennials and Gen Z make up a growing share of our customer base, and we are evolving our marketing, product design, and engagement strategies to meet the expectations of these digitally savvy consumers. Their strong preference for mobile and self-service is driving increased adoption of our digital application flows and mobile platform, emphasizing our omnichannel strategy and validating the investments we made in personalization and seamless user experiences.
Steve Michaels: PROG Marketplace, our direct-to-consumer platform, remains a meaningful growth engine, delivering another quarter of strong double-digit GMV expansion. This channel not only broadens our reach beyond traditional retail partnerships but also plays an increasingly important role in building relationships with consumers and enabling us to direct consumers to our POS partners through a new renew channel. We are investing in brand building, personalization, and lifecycle marketing to increase customer engagement, and we are seeing encouraging trends in repeat usage and retention as a result. PROG Marketplace is helping us create a more durable and self-sustaining customer ecosystem, one that supports growth across our leasing, BNPL, and cash advance offerings alike. Under our enhanced pillar, we made strategic investments in technology that improve both customer and employee experiences across the Progressive ecosystem. Our innovation team at PROG Labs is at the forefront of these efforts. Our AI-powered transactional consumer chat platform has now handled over 100,000 customer interactions, supporting customers from the approval stage through conversion into the servicing of their lease agreements. We are proud of how this tool is already enhancing our ability to deliver timely, personalized support, and it is reducing friction in our service model. With new capabilities introduced in Q3, customers can now make payments, request approval amount increases, and inquire about the account status directly within this chat platform. These initiatives are already proving valuable, but we believe we are still in the early innings of what is possible. We expect these AI-driven capabilities to be a key differentiator as we scale customer personalization, drive efficiencies, and set the bar for digital innovation in lease-to-own. Under our expand pillar, our multiproduct ecosystem is maturing, growing connectivity between offerings. Our cross-marketing campaigns between PROG and Progressive Leasing have proven effective in increasing repeat usage and driving incremental GMV. Turning to our BNPL platform, four technologies have exceeded expectations once again, delivering its eighth consecutive quarter of triple-digit GMV and revenue growth. As we first shared last quarter, engagement trends are strong, with an average purchase frequency of approximately five transactions per quarter for the last year and more than 160% growth in active shoppers year-over-year. We are seeing strong momentum in unique shoppers and merchant relationships, driving high engagement across the platform and contributing to overall GMV. Additionally, our four-plus subscription model continues to be a key driver, with over 80% of GMV coming from active subscribers. Importantly, four's take rate of approximately 10%, defined as revenue generated as a percentage of GMV over the trailing twelve-month period, is a strong indicator of monetization efficiency. Four has operated profitably year-to-date, and its role in our broader ecosystem is expanding meaningfully, not just as a standalone business but as a cross-sell driver for Progressive Leasing and as a catalyst for customer acquisition. From a profitability standpoint, four generated year-to-date adjusted EBITDA of $11.1 million through Q3 2025, representing a 23% margin on revenue. As we look ahead to Q4, we are forecasting an adjusted EBITDA loss driven by seasonal dynamics that require an upfront provision for credit losses for new originations. Despite this anticipated Q4 loss, we believe four will have positive adjusted EBITDA for the year. Given that the peak holiday season will account for more than 20% of four's full-year GMV, this provision creates a timing impact on profitability. This pattern is well understood and consistent with our operating model, as these holiday originations generate the majority of their revenue in Q1, we expect to see a meaningful rebound positioning four to deliver its highest quarterly adjusted EBITDA margin of the year in 2026. Looking ahead, we are closely monitoring the macro environment, especially as consumers face ongoing liquidity constraints and shifting spending behavior. The demand environment remains soft across many durable goods categories, which will likely continue in Q4. That said, we are not waiting for the environment to improve. We are leaning into the areas we can control: portfolio health, disciplined spending, deepening partner engagement, and driving sustainable profitable revenue through our multiproduct ecosystem. Our capital allocation priorities are unchanged. We are investing to drive long-term growth through sales initiatives, marketing investments, AI and other innovation, digital infrastructure, exploring strategic M&A opportunities that strengthen our ecosystem, and returning excess cash to shareholders through share repurchases and dividends. We did not repurchase shares during the quarter due to ongoing discussions with Atlanticus regarding the sale of the Vive portfolio. Those discussions began in January and progressed to a stage in Q3 that restricted our ability to be in the market until the transaction was publicly announced. As Brian will outline, we ended Q3 with a strong cash position and generated meaningful free cash flow, reinforcing our capability to fund growth while maintaining financial flexibility. To close, we are confident about how we are executing across the business. We delivered strong earnings, improved portfolio performance, and successfully executed the strategic divestiture of a portfolio business, allowing us to reallocate capital towards our highest conviction opportunities. At the same time, we are building momentum in our fastest-growing segment, four technologies. I am proud of what we have accomplished this quarter and confident in our ability to sustain this momentum into the future, which we expect will create long-term value for our customers, partners, and shareholders. With that, I'll turn the call over to Brian for more details on Q3 results and our 2025 outlook. Brian?
Brian Garner: Thanks, Steve, and good morning, everyone. Our third quarter results highlight execution and innovation across our product offerings. Once again, we exceeded the high end of our guidance on revenue and earnings, despite pressures on consumer demand across our key categories. Non-GAAP diluted EPS at $0.90 per share beat the high end of our outlook by $0.15 and was up approximately 17% compared to the same period last year. This outperformance reflects a combination of three key factors: strength in our portfolio performance, mostly monitoring levels of spend, and momentum from our buy now, pay later and direct-to-consumer initiatives. We are focused on profitable growth and actively managing the business to optimize returns while staying agile in a dynamic operating environment. Let me start with the Progressive Leasing segment. GMV came in at $410.9 million, which represents a year-over-year decline of 10%. However, as Steve noted, the underlying performance tells a more compelling story. Adjusting for the loss of GMV related to the Big Lots bankruptcy and the impact of our deliberate tightening of approval rates, the business would have delivered mid-single-digit growth, driven by solid balance of share gains within key retail relationships and growing traction among e-commerce and direct-to-consumer channels. PROG Marketplace, our direct-to-consumer channel, delivered 59% year-over-year GMV growth for the quarter. Q3 revenue for Progressive Leasing was down approximately 4.5% at $556.6 million compared to $582.6 million in the prior year. Revenue benefited from slightly better customer payment performance. This tailwind, however, was offset by GMV headwinds, primarily driven by the Big Lots bankruptcy and tightening actions we took in '24 and early 2025. Portfolio performance remains strong, with write-offs coming in at 7.4%, representing an improvement sequentially and year-over-year. This result reflects the impact of our deliberate tightening actions. As always, we are actively monitoring early performance indicators to ensure our decisioning posture is consistent with delivering write-offs within our targeted annual range of 6% to 8%. Progressive Leasing's gross margin in Q3 came in at 32%, representing an approximately 80 basis point improvement year-over-year. This margin expansion was driven in part by a higher proportion of customers staying in their lease agreements longer as well as higher year-over-year yield from our lease portfolio. Progressive Leasing's SG&A for the quarter was $79.3 million or 14.2% of revenue, compared to 13.1% in 2024. As we have discussed in prior quarters, we have made targeted investments to support long-term growth focused on customer-facing capabilities, technology modernization, and partner enablement, while maintaining cost discipline across the organization. EBITDA for Progressive Leasing came in at $64.5 million or 11.6% of revenue, landing within our 11% to 13% annual margin target and improving by 20 basis points year-over-year. This performance underscores our ability to deliver profitability through disciplined execution, even in the face of challenging year-over-year GMV comps and a softer demand environment. Turning to consolidated results, Q3 revenue was $595.1 million, which reflects a slight decline compared to the same period last year at $606.1 million. That came in at the high end of our guidance range. The year-over-year decline is driven by the impact of the Big Lots GMV loss and a smaller lease portfolio entering the quarter, largely offset by another triple-digit revenue growth quarter at four Technologies. Consolidated adjusted EBITDA was $67 million or 11.3% of revenue, compared to $63.5 million or 10.5% of revenue in 2024. This year-over-year improvement reflects strong adjusted EBITDA performance of four and year-over-year margin improvement at Progressive Leasing. Non-GAAP diluted EPS came in at $0.90, exceeding the top end of our outlook, driven primarily by strong underlying earnings performance. As Steve noted, we did not repurchase shares during the quarter due to the ongoing discussions with Atlanticus related to the Vive portfolio sale, which restricted our ability to be in the market until the transaction was finalized. Let me now turn to the divestiture of the Vive portfolio, which was announced earlier this morning. The transaction will be reflected in our Q4 financial results and classified as discontinued operations. As I'll discuss later, our updated outlook reflects the impact of the divestiture. The proceeds of approximately $150 million provide incremental liquidity and strengthen our balance sheet, bringing greater flexibility as we assess opportunities through our capital allocation framework. In the near term, we will continue our investments across our ecosystem of products. As always, we remain disciplined in our capital allocation approach. Our priorities are unchanged. We are focused on funding impactful growth initiatives, pursuing selective high-return M&A opportunities that complement our ecosystem strategy, and returning excess capital to shareholders through our ongoing share repurchases and quarterly dividends. These actions reflect our commitment to driving long-term profitability and delivering sustained shareholder value. Moving to the balance sheet, we ended Q3 with $292.6 million in cash and $600 million of gross debt, resulting in a net leverage ratio of 1.1x, which is comfortably within our target range. We maintained ample liquidity during the quarter and had no borrowings outstanding on our $350 million revolver. In Q3, we paid a quarterly cash dividend of $3 per share. As of quarter-end, we had $309.6 million of unused capacity under our $500 million repurchase program. For our 2025 consolidated outlook, in light of this morning's announcement regarding the Vive divestiture, we have removed Vive from our outlook for both the fourth quarter and full year 2025. Our revised outlook has consolidated revenues in the range of $2.41 billion to $2.435 billion, adjusted EBITDA in the range of $258 million to $265 million, and non-GAAP EPS in the range of $3.35 to $3.45. This outlook assumes a difficult operating environment, soft demand for consumer durable goods, no material changes in the company's current decisioning posture, an effective tax rate for non-GAAP EPS of approximately 27%, and no impact from additional share repurchases. To summarize, Q3 was a strong quarter across the board. We delivered earnings above expectations, maintained healthy portfolio performance, advanced key initiatives aimed at supporting long-term growth, and subsequent to the quarter-end executed a strategic divestiture. With a solid balance sheet, scalable cost structure, profitable growth in our buy now, pay later business, and a proven multiproduct ecosystem, we are well-positioned to deliver sustained value for our customers, retail partners, and shareholders. With that, I'll turn the call back over to the operator for questions. Operator?
Operator: Thank you. And wait for your name to be announced. To withdraw your question, simply press 11 again. Please stand by while we compile the candidate roster.
Operator: Our first question is coming from the line of Kyle Joseph with Stephens. Your line is now open.
Kyle Joseph: Hey. Good morning, guys. Thanks for taking my questions. Given all the headlines we've seen around the consumer, I was just looking to get an update and I recognize there's some moving parts. But you know, we're looking at write-offs coming down for you guys, you know, even though you guys have headwinds from Big Lots on that front. And then it sounds like, you know, GMV ex Big Lots are underwriting. There's some positive trends there. And then just weighing that with some of your commentary in terms of macro data and some of the headlines we've seen in the consumer finance arena, just kind of looking for an update on the pulse of the consumer in your opinion.
Steve Michaels: Yeah. Thanks, Kyle. And, yeah, it's certainly been in the headlines, and it's something that we are constantly battling and analyzing. But to your point, we're pleased with where the portfolio is. I'm really proud of our data science teams, and they do a job delivering that consistent portfolio in a very dynamic environment. The write-offs did improve both sequentially and year-over-year due to the, you know, our deliberate actions that we took earlier this year for the most part. Some of them late last year. But we're watching it very closely. I mean, we feel pretty good about where we are right now. But we are seeing some stress in the consumer as you said, there's lots of headlines around liquidity pressures and just macro pressures on the consumer, especially in the cohort that we serve. Our DQs are elevated at this time compared to previous years, including last year. And we're watching it very closely. We haven't found the need or seen the need to tighten additionally yet. I'm not saying that that won't happen based on how the data comes in the door, and that's one of the great aspects of our short-duration portfolios across our products. And the fact that we get quick feedback loop that we can adjust very quickly to trends we're seeing in the data. So I mean, we're defensively postured and kind of braced for potentially having to tweak additional dials, but we have not done that in any material way since earlier this year. We always are looking for, you know, we're always adjusting dials, some positive and some negative. But in what I would call a tightening action, we haven't had to do that since earlier this year. But we're not ruling it out based on what we see for the rest of the year.
Kyle Joseph: Got it. Really helpful. And then in terms of the GMV outlook for the rest of the year, I think Steve, you highlighted that 3Q was a tough comp in terms of 03/2024 growth. But, you know, just factoring in the timing of Big Lots and the timing of underwriting changes, should we think about 3Q as kind of the bottom point or similar headwinds into 4Q before things really ease up into 2026?
Steve Michaels: I think the comps really don't clear up until Q1. We put out that supplemental slide page with Big Lots, and Q4 is a similar headwind to previous quarters this year. And the tightening, while we did do some of it in late last year, most of what we're referring to was in Q1 of this year. So from a comp standpoint, I don't think the pressures are still roughly the same. I will say that, you know, our Q3 GMV did come in slightly below where we expected it to, and we were updating you in July. I think a lot to do with some of those pressures that you're talking that you were referring to on the consumer. And so we've adjusted some of our view on Q4 as well. We're continuing to fight every day, and we have big plans for the holiday season. But there's mixed reports out there about what to expect from a consumer discretionary spend during the holiday as well. So got some internal initiatives, some things we're trying to get across the goal line with existing retail partners before we go into code freeze for the holidays. And we're pleased with where we are, but the macro is a challenge and has been impacting GMV in addition to the discrete headwinds that we've called out.
Kyle Joseph: Got it. One last one for me. Just in terms of the guidance on other, it looks like better revenue guidance and then marginally lower profitability. Is that just a function of timing and growth math really?
Steve Michaels: Yeah. We tried to address that in the prepared remarks. Our four business is we're very pleased with what it's doing, how it's growing, and its profitability year-to-date. And then there's just a very understandable seasonal dynamic in Q4, and more specifically, in kind of November, December with the surge of GMV that we have observed in last year as well as are predicting for this year. And how that upfront provisioning with very little revenue recognition will cause four to swing to a loss for Q4. Nothing to be concerned about. It's just the dynamic of the model. And it'll swing back in Q1 of next year. But the strength of BNPL business year-to-date is undeniable, and it's going to continue. But there will be some P&L dynamics, which have been reflected in the other segment and are impacting our PROG Holdings level guidance for the full year or implied for the fourth quarter because of that swing to adjusted EBITDA loss.
Kyle Joseph: Yep. That all makes sense. Great. Thanks a lot for taking my questions.
Brian Garner: Thanks, Kyle.
Operator: Our next question is coming from the line of Bobby Griffin with Raymond James. Your line is now open.
Bobby Griffin: Good morning, guys. Thanks for taking the questions. Hey, Steve. I guess good morning. I wanted to just maybe talk more on the current environment. I you know, your comments on the low end and some of the pressure make a lot of sense. I didn't hear much on trade down. So can you maybe just touch on that? Is part of what's going on here, you guys are having to be a little bit tighter or incrementally tighter as you did this year. You're not seeing that happen in the tiers above you. Just trying to get a sense of how this environment might be evolving versus some of the earlier trade down we saw when everybody started tightening together.
Steve Michaels: Yeah. It's a good call out, Bobby, and we certainly saw the impacts of the supply above us tighten in 2024. And then kind of stayed static while they saw what their portfolios were doing. Earlier this year, I think there were calls that folks may be loosening here in the back half of 2025. I think providers are reevaluating that potential strategy. But based on the headlines that we've seen over the last I don't know, six to twelve weeks, which would indicate some stress out there. And auto portfolios and elsewhere. We have not yet seen or observed in the credit stacks where we participate and have good visibility any trade down or any tightening with the supply above us. So we did have to tighten earlier this year. We have not seen any additional benefit from supply above us tightening so far. I think it's you know, just my opinion is it's unlikely that they will loosen in the holiday season, but I'm not we haven't seen any evidence of them tightening and creating more of that trade down for us.
Bobby Griffin: Okay. That's helpful. And then maybe on just the GMV cadence through the quarter, I mean, interesting or notable kind of how the month played out and anything in October to help us think about you know, kind of the early I know we're still a little early for holiday, but just anything in October as well.
Steve Michaels: Yeah. Nothing on holiday yet. You know, obviously, it's difficult right now, but this is the case every year. That such so much of the quarter is made in the five weeks between Black Friday or the seven days of Black Friday, whatever you want to call it, to Christmas Eve for the leasing business. The quarter for Q3, it was fairly similar, but it did you know, September was lower than August and July from a negative standpoint. But you know, I don't know if the headlines and the psychology from the pending government shutdown and all those things kind of played into people's confidence and sentiment. But, you know, we did see some softness.
Bobby Griffin: Okay. And then lastly for me, Brian, I hate to be the guy that asks about 26, but I'm going to do that here just because there's a lot of moving parts. But, like, when you think about 26 and you just want to maybe level set the model, not ask for guidance, of course, but, like, you got Vive flowing out. Got a smaller portfolio because of this GMV, but then you have the Big Lots headwind coming off. So just help us frame up, you know, kind of all those moving parts and, you know, to keep kind of in line with the smaller portfolio, but potentially GMV actually starting to show growth again?
Brian Garner: Yeah. I think starting with the tailwinds, you look at '26. And, again, not providing guidance, but just you know, as things are shaping up. I think you're right. So from a decisioning standpoint, as Steve alluded to, the biggest relief from a year-over-year comp comes in Q1. That was the most meaningful tightening that we did here in 2025. So as that rolls off, should start to see some relief there. Along with that, and obviously getting past the Big Lots comp, which we've provided information about in our supplemental deck. And I think the other positives are the portfolio is being managed effectively. So, you know, we've as we talked about, we're down year-over-year and sequentially with the 7.4% that we posted this year. So I think a similar kind of write-off posture is probably appropriate. You've also got this growth in four that's really exciting and buoying the results here in the quarter. And I think we've got a trajectory there that's encouraging. And, you know, I think the offset or, you know, what we're paying attention to a little bit is this macro. And the impact on leasing just more broadly that'll I think, continue to serve a challenge here in Q4, and we'll see what 02/2026 holds. But I think that's how it's shaping out from a you know, we talked about this 11, 13% EBITDA margin target for the leasing segment. There's not been an intent to revisit that, at least at this point in time. So that's our mandate is to actively manage the cost structure in light of what our top line allows. And that's you know, those are really the inputs as I shape up 2026. The buy portfolio, as you said, is really not consequential to earnings. It's about a $65 million haircut off of revenue from a run rate perspective, and so that's how I'd size that up.
Bobby Griffin: Perfect. That's very helpful. Appreciate the details here, and congrats on the transaction and the portfolio management. Best of luck, guys.
Brian Garner: Thanks, Bobby. Appreciate it.
Operator: Thank you. Our next question is coming from the line of Anthony Chukumba with Loop Capital Markets. Your line is now open.
Anthony Chukumba: Good morning. Thank you for taking my question. Guess my first question, you mentioned the three new retail partners. Can you tell us who those retail partners are?
Steve Michaels: Hi, Anthony. Good morning. And I had money that you would be the one that noticed that and talked about that, so I appreciate that. Yeah, we're not going to name them. We just wanted to highlight because our biz dev teams are out there working their tails off all the time, and they can't control the timing of when we get things across the goal line. But it's not for, you know, a lack of effort and a lack and or quite frankly. So we were pleased with the results in the quarter. And actually, one of them was subsequent to the quarter end. But we use the term recognizable retail logos on purpose because while they may not have been, you know, standalone press releases, they are logos that you would recognize. And so we're pleased with those wins, those competitive processes, and prevailing in those processes. And while they'll have very minimal impact in 2025, they will be part of the building blocks of how we're building the GMV picture and profile for 2026. And the teams also have a number of other opportunities in the pipeline that we're excited about. And unfortunately, as you've observed with us for many years, the timing is very choppy on when those things come across.
Anthony Chukumba: Got it. Okay. So I guess that's a new project for my research associate to figure out who those retailers are. So second question. Okay. So you got $150 million for the Vive portfolio, that's more than 10% of your market cap. And then you've got this nine-figure windfall coming from the one big beautiful bill, which makes me feel dumber every time I have to say that. I guess my question then becomes, you know, how do you think about capital allocation? Right? You mentioned you're at 1.1 times leverage. You're very comfortable with that. I would think, particularly given where your stock is, that you would, you know, back up the truck in terms of buying back stock. But how do you sort of think about that?
Brian Garner: Yeah, you're right. And that 1.1 times leverage was previous to the sale of the Vive portfolio. So but point taken. Yeah, I mean, you set it up. We look at it through the lens of net leverage ratio, right, which we think is kind of one and a half to two turns is kind of a comfort level. But then we look at our capital allocation priorities. And growing the business is priority one. And, obviously, we're in a negative GMV situation currently with leasing, but we don't expect that to be the case for, you know, forever. So, hopefully, we'll have some working capital requirements to grow GMV within the leasing business. Four is obviously a juggernaut. And while very short-duration transactions, will need some capital here, especially in the fourth quarter. And so but we're fortunate in that our business models do allow us to kind of check that box when it comes to organic growth and reinvesting in the business. Second, we have said that strategic or opportunistic M&A is something that's on our radar. And we would look for something synergistic to our ecosystem and that fits into our strengths of serving this below prime and underserved customer and assessing risk. And then absent those two first things, then we would define excess capital and look to return it to shareholders, and our history has been through repurchases. And, you know, obviously, we initiated a dividend about two years ago. So the capital lens and capital allocation priorities haven't changed. We just have a high-level problem of having more of it on the balance sheet right now, and so we'll look to check those three boxes and be good stewards of capital.
Anthony Chukumba: Got it. That's helpful. Thanks, and good luck with the remainder of the year.
Brian Garner: Thanks, Anthony.
Operator: Thank you. Our next question is coming from the line of Hoang Nguyen with TD Cowen. Your line is now open.
Hoang Nguyen: Good morning, team, and thanks for taking my questions. I guess you are now seeing some softness from maybe the consumers, the lower-end consumers. So but then you haven't tightened yet. So can you talk about the difference between now and maybe this time a year ago when you guys started to tighten? What's the difference that hasn't made you guys do additional tightening at this point, given the pressures that are starting to surface?
Steve Michaels: Yeah, I mean, I think the difference is that the portfolio is in a different place than it was last year because of the tightening. So as you know, it turns over fairly quickly. And so the actions that we took in the back half of 'twenty-four, but more specifically in 'twenty-five, have helped to make the portfolio more healthy. We are seeing some elevated DQs, the delinquencies, but one of the good achievements of our data science teams are some of the changes they made to the approvals, approval amounts, is that we have been able to choke off, if you will, kind of some of the straight rollers or the no-pays that roll right to charge off or write off. So the idea that you can have some elevated delinquencies but not negative dispositions or negative outcomes, those things can be true at the same time. And so we are again, we're white-knuckled like we always are because portfolio is job one. We're watching the portfolio and poised if we have to do something, but the early indicators are showing us things that we should be paying attention to but have not just have not told us that we need to do additional tightening at this point.
Brian Garner: Yeah. And I would just add to that. Dynamic Steve just illustrated is coming through in that 80 basis points of gross margin expansion. And so you asked what from a year-over-year perspective, what's the dynamic? We're certainly seeing a more favorable mix in the way that this plays out, and those changes we've made from a decisioning scientist standpoint are playing through. And so I think that's an important element in comparing and contrasting last year to this.
Hoang Nguyen: Got it. And follow-up is on the Vive sales. Given that you guys are getting $150 million, and you guys didn't do buyback in 3Q, I mean, should we expect catch-up buyback in 4Q, and what you plan to do with this proceed going forward?
Steve Michaels: Yeah. I mean, I guess I would just kind of refer to the answer previously about what we're going to do with the capital and just kind of go back to our capital allocation priorities. And then we don't really guide or speak to what we're going to do in the future about repurchases in any given quarter. And we would just look to the three-pillared strategy on capital allocation.
Hoang Nguyen: Got it. Thank you.
Operator: Thank you. Our next question is coming from the line of Brad Thomas with KeyBanc Capital Markets. Your line is now open.
Brad Thomas: I wanted to follow-up on four. And first of all, congratulations on the nice momentum in that business, a really exciting outlook that I think is still underappreciated by many investors. I was curious, Steve, as you continue to grow that business, there's this sort of ongoing question of does BNPL compete with lease-to-own? And so I was curious as you have success cross-marketing, what your new learnings are as you have more overlap in who those customers are.
Steve Michaels: Yeah. Thanks, Brad. And, yeah, we're very excited about four and its current state, but also its potential and where we're going to where we think we can take it. Yeah, I mean, it's been interesting to have that product in our ecosystem to be able to watch it because I you know, before well, we've had it for four years, but it's you know, it was very small in '21, '22, and '23. And the view has always been that BNPL and more specifically, the pay in four providers not you know, not some of the longer installment sales that people call BNPL. Are not really a competitor to leasing. Most very simply because of the average order value. Right? And the average order value is still in the 125 to a $140 range. Which is materially different than an $1,100 average ticket for our leasing business. Also, the categories that are predominant in our four business are different. Right? You have consumables and cosmetics and apparel and sneakers, and it's provided us a nice insight into those shopping patterns. And I think that is also a reason why they have diverging growth rates currently because people are still consuming those things that I mentioned at a $140 purchase, but they're maybe more reluctant or deferring purchases of the larger ticket durable goods that are traditionally in the leasing business. We are excited and encouraged by our cross-sell motions and developing those further. Because there is overlap in the consumer for four will serve a low prime consumer all the way up to a super prime consumer. But there is considerable overlap with the leasing customer. And to the extent that they can come to us if they need a new refrigerator from Samsung versus, you know, a shoe drop on a Saturday afternoon for some new Jordan. And use our different products for that is, we think, a big opportunity for us. And we're doing that currently, and we have plans to do it more and better in the future. But we don't really see the Pay in four as a competitor to leasing. It's and we believe that it can be complementary.
Brad Thomas: That's very helpful. Thank you, Steve. And maybe a follow-up for Brian. I know you're not giving 2026 guidance, and Bob, you already took a stab at this. But as we think about the margin side of things, I guess, is there anything you would call out? Again, as you talked about with Bobby, it does feel like the revenue outlook at the beginning of next year would be challenging if the GMV is down at the end of this year? Outside of the leverage side of things, are there any broad steps that we should keep in mind as we think about margins?
Brian Garner: Yes. No, it's a good question. It's something that we're very focused on and trying to make decisions internally to balance the investments that need to get made in this business that have high ROI potential and also adhering to this 11 to 13% for the lease certainly, for the leasing segment that we have set as a standard for prior years. And, you know, as implied in our guidance, I think we're right around the bottom end of that 11 to 13%. And as we look into 2026, the factor that really breathes some oxygen into the room is getting GMV moving in the right direction. You've got this right now in part of the headwind we're facing is a bit of a deleveraging just from a revenue perspective. And so that's task number one is to reinject a positive of, you know, a more favorable trend in GMV and working towards that end. And that's not stating, you know, anything for '26. That's just the mission as we try and improve that result. I think the other factor that I would point to, and Steve also offered some color in the prepared remarks, which was you know, four is north of 20% here in the quarter in terms of EBITDA margin. And so the ability to grow that business profitably and the contributions that we believe it can offer particularly as it gets scale, I think is really encouraging. You know, as you go kind of down to P&L, gross margin, we obviously had a really strong gross margin print here for the quarter. And I think there are some things that we have done internally around decisioning and trying to optimize that. And so I think that may very well be something that we can maintain into next year, which is encouraging. So all that being said, I think there are certainly the building blocks for us to maintain that 11 to 13% is the north star and, you know, try to work against this deleveraging component, build for and keep our costs in line while addressing the investments that need to get made. I think that's the task at hand. But we understand the mandate of not growing costs substantially faster than revenue. But we think we've got some good things in the hopper that'll help GMV going forward.
Operator: Thank you. Our next question is coming from the line of John Hecht with Jefferies. Your line is now open.
John Hecht: Good morning, guys. Thanks very much for taking my question. I guess just a little bit more into four just because, I know, Steve, you gave us some of the seasonality facts and so forth, but, you know, it's had very, you know, eight quarters of really good kind of growth patterns. Maybe can you give us some, you know, some insight as to, like, customer acquisition and Steve, you even mentioned, like, some the opportunity to cross-sell maybe just a little bit more into that opportunity.
Steve Michaels: Sure. Yeah. And one of the really nice things about four so far, and we think it can continue, is just the organic growth that it's seeing in its MAUs, its installed the app downloads. And, ultimately, the GMV has really been driven primarily by referral and word-of-mouth, and user-generated content that wasn't paid for. We have a lot of good ambassadors out there that are really happy with four and getting their friends and family to use it. And that's evidenced by, you know, sometimes the four app in the App Store for iOS will be a top 10 shopping app for a period of time because of some TikTok video or something that we didn't pay for. We are leaning into some marketing as much to prove that we have the sophistication of that muscle in case we need it. Not really to sustain or to juice the growth rates. And so far, we're very pleased with the cost per download and the cost of customer acquisition in the small dollars that we're spending, but we believe that that's a lever that we can pull in the future if necessary. So the referral rate, the word-of-mouth, has been really strong. Four plus has been a very pleasant adoption rate. We introduced it in early 2024. And we have a very growing subscriber base. And as we said, about 80% of our GMV coming from four plus subscribers, which certainly helps that take rate metric that's prevalent in the industry. The cross-sell is an exciting area as well. It's an internal initiative for all of our teams. And we're doing some marketing primarily from the Ford acquired customers to the leasing business. But there's certainly opportunities to go bidirectional. And those are things that we'll be looking at, you know, for 2026 as well to go in both directions across the ecosystem of products. But four is, you know, really becoming a standout in the ecosystem. And getting more integrated. And we think that there's a lot of opportunities across the products. But one of the really nice things has been this organic word-of-mouth and referral marketing or sorry. Customer acquisition without paid marketing that we've been able to achieve. And it's kudos to the brand that the team has built. And the user acceptance and the frictionless experience.
John Hecht: Okay. That's super helpful. And then I guess, follow-up maybe, Brian. I think you mentioned if you correct for Big Lots, and some of the tightening that your GMV growth is mid-single digits. I think I heard, you know, in a normal environment, and I know that's a tough question, to define what's a normal environment, but, you know, maybe if you think about the period of 2015 to 2020 or something, what do you perceive as kind of normal secular growth trends for GMV growth relative to that mid-single-digit number?
Brian Garner: Yeah. I appreciate you directed that at me versus Steve, but that is a tough question. You know? And, look, the period that you're referring to for 2015 to 2020, that was an environment where I think it was certainly, there was a lot of momentum on the enterprise level. Retailers. And in 2019, launching Lowe's and Best Buy was certainly a high growth period. So it's tough to normalize for it. I guess what I would say is we're looking at the GMV opportunity. We see the pipeline is strong. We see conversations with meaningful retailers that while the sales cycle is long, we are engaging them. And we think there's a lot of opportunity still within our current installed base. As we look at, you know, the metrics across the board, whether it's levels of conversion, or leases per door productivity type metrics, there's a lot of opportunity there. And I'm not giving a satisfying answer about a specific range that you can take, say, into '26 and beyond. I would just say that, you know, if we're growing mid-single digits with the headwinds that are existing today, when you adjust for decisioning and the Big Lots bankruptcy, it gives it's encouraging to me to think about what still leverage still exists for us to penetrate the existing book and beyond? And it makes you feel comfortable that we should be able to drive that north. And that's you know, our best days are not behind us, and I think we've got a lot of opportunity ahead. So that's probably the color I would offer, and welcome any thoughts you might have on that.
Steve Michaels: No. I mean, you nailed it. We've got good growth available to us from within our installed base. And, you know, we'd love to rerun the 2015 to 2020 time frame because it was a growth period of, you know, our retailers had positive comps, and we were adding new retailers to the platform all the time. So that's certainly what we're rooting for now.
John Hecht: Right. Thank you guys very much for the context.
Operator: Thank you. Our next question is coming from the line of Vincent Caintic with BTIG. Your line is now open.
Vincent Caintic: Hey. Good morning. Thanks for taking my questions. Kind of first one on GMV, and I guess a two-part question. We talked earlier about the underwriting posture and that you know, feel the needs to tighten yet just kind of wondering if you can put give us some sort of framework for what your underwriting posture, I guess, currently can absorb and maybe in terms of what how we think about the macro or consumer deterioration and maybe what would cause it you have to have to tighten further. And then, second part, so you mentioned those retailers that you signed up. And if you could maybe disclose, like, what the potential opportunity is in terms of the GMV size, that would be very helpful. Thank you.
Steve Michaels: Yeah. I mean, Vincent, on the decisioning side, I mean, we've got all kinds of indicators that we look at from first pay bounces to four-week delinquencies to roll rates from bucket to bucket, all the things that you would imagine we're looking at. And, you know, we don't just look at one. We look at all of them because, as I mentioned, DQs are elevated, but it's not something that is impacting overall portfolio yield or negative disposition outcomes currently. So it's, you know, it's a mosaic, if you will, of all those things. And we know what we need to see in order to tighten. And I want to be clear, though. It's when we say like, we may see something to tighten, but it won't be, like, a broad brush stroke changing internal risk scores across every retailer. It could be pockets. It could be in a particular vertical. It could be in a particular retailer. It could be in particular geography. It's very dialed in. Credit to the team for that. So are the things we're looking at, and we look at them very, very frequently. With a lot of folks around the room and on the Teams meeting weighing in. So the three retailers, I would say that we would look at those. They're recognizable logos, so they're not some two-store mattress chain in Denver. And of the three, it's new to them. So as you probably remember from previous when someone adopts a new payment type, it doesn't go from zero to 60 overnight. It kind of ramps up through training and productivity gains. And so we will be working with the counterparts at those retailers to make sure that we move up that productivity curve as fast as possible. I guess you kind of look at them as, like, a super regional, if you will, from a sizing standpoint.
Vincent Caintic: Okay. Perfect. That's super helpful. Thank you. And then last question. I wanted to go back to four. So great GMV results over the past eight quarters, and then it was nice to see that strong EBITDA margin this quarter. I know there's variability as you're growing that business significantly. But I'm just wondering if you can maybe talk about how you think of that business at some point in the future when it reaches maturity. What sort of what's the economics? What's the maybe the EBITDA margins of that business? Because I guess when I look at it, I'm making comparisons to some of the other public buy now pay later companies like, you know, Sezzle and Affirm and seeing their high EBITDA margin. So I'm just kind of wondering how you're thinking about that framework, if you can help us out. Thank you.
Steve Michaels: Yeah, Vincent. I mean, I think that, you know, the public comps are certainly a place to look. And four has pivoted over the last several years to a direct-to-consumer model. So probably similar, but several years behind, Sezzle. And so if you think about where we were year-to-date with four from an EBITDA margin standpoint, and even though it's going to swing to a loss here in Q4, which like I said, is not a surprise to us and is nothing to be worried about, but it'll bring probably that full-year EBITDA margin down into the mid to, you know, mid-ish single digits. But we do expect with two dynamics scale, as you mentioned, and then with that scale comes more GMV coming from repeat shoppers, so scale and improving loss rates over time we believe, can will result in margin improvement over the next several years. And the unknown is just the rate of growth. Right? So we've been growing, you know, of a 150% GMV each quarter this I guess, it was, like, one forty-seven in Q1, but been over one sixty in Q2 and Q3. You know, just from the law of numbers, you would expect that to decelerate in 2026. But you know, whether there's an opportunity for us to it decelerates a lot, then you'd have more margin expansion. But if we keep the growth there in an effort to get to that scale faster, then we'll have margin expansion, but not as much as you would if you really throttled the growth. So we're not in the business of throttling growth as long as we feel good about the unit economics of each deal we're putting out. And so but over the next several years, we see no reason why we can't look more like those public comps that you're citing there. And that's an exciting opportunity.
Vincent Caintic: Okay. Great. Very helpful. Thank you.
Operator: Thank you. And I'm showing no further questions in the queue at this time. I'll now turn the call back over to Steve Michaels for any closing remarks.
Steve Michaels: Yeah. Thank you very much. Appreciate everybody joining us today. Your interest in PROG. We delivered another strong quarter and are excited about our opportunity to finish the year strong and then set up for 2026, which we'll talk more about here in February. Thank you so much, and have a great day.
Operator: This concludes today's conference call. Thank you for your participation. And you may now disconnect. Goodbye.